Operator: Good morning everyone. Thank you for standing by and welcome to Volaris’ First Quarter 2015 Financial Results Conference Call. All lines are in listen-only mode. Following the company’s prepared remarks, we will open the call for questions-and-answers. Instructions will be provided at that time. Please note this event is being recorded. I would now like to turn the call over to Mr. Andrés Pliego, Volaris’ Investor Relations Manager. Please go ahead, sir.
Andrés Pliego: Thank you, operator. Good morning everyone and thanks for attending. On this call we have Enrique Beltranena, Chief Executive Officer; Fernando Suarez, Chief Financial Officer and Holger Blankenstein, Chief Commercial Officer. They will be discussing our first quarter 2015 results publish this morning and afterwards we’ll take your questions. This call is for investors and analysts only. Before we begin, please let me remind everyone that some of the statements we will make on this call will constitute forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are subject to a number of factors that could cause the company’s actual results to differ materially from its expectations, for reasons described in the company’s filings with the U.S. Securities and Exchange Commission. Furthermore, Volaris undertakes no obligation to publicly update or revise any forward-looking statement. For our opening remarks, I will turn it over to our Chief Executive Officer, Enrique Beltranena 
Enrique Beltranena: Good morning everyone and thank you for joining us I will begin with an overview of our business and present the main operating highlights that drove our financial results for the quarter. Then I will share some insight on the status of some recent events before turning it over to Fernando for a more detailed view of our financial results. In short we had a very strong first quarter. Our airports in capacity discipline and diversification of network, non-ticket revenues, cost initiatives and seamless execution resulted in a first quarter adjusted EBITDAR and EBIT margins of 32% and 9% respectively. The former a record for the company and a margin improvement of 26 percentage points compared to the first quarter of 2014. This result continued to reflect the quarter-over-quarter sequential improvement of market. This year within the first quarter we had stronger than expected high seasons in the year-end holiday return traffic in January and in the Holy Week vacation period in March which allowed us to expand our ASMs and increase passenger traffic. It is important to understand that first the comparable period basis last year was a very the depress one due to several factors. Second, we continue to diversify our network and managed capacity in the disciplined way airports, which are paying off. And third, non-ticket revenues continue growing and performing well. We attribute two thirds of the quarter’s operating margin increase to the company’s performance improvement and management execution and a third to tailwinds of lower fuel prices, net of exchange rate pressures. I want to be emphatically clear that Volaris’ focus is to construct a profitable and diversified network regardless of fuel and exchange rate tail or headwinds. We continue with our network strategy under our [indiscernible] modern philosophy with the following results for the quarter. TRASM improved 22% mainly as a result of solid growth in non-ticket revenues of 65% year-over-year. Non-ticket revenues per passenger reached 337 pesos. We maintained capacity discipline in the domestic market with an ASM increase of only 4% and grew international ASMs by 31%. Passengers increased 16%; we performed at the low factor of 80% despite new market openings and ramp up of routes. We reached fleet age of 4.5 years and replacing older A319 with newer high density A320s. We maintained the lowest unit cost [fuel] in the Americas at U.S. $0.51, a 7% decrease in U.S. dollar terms. After opening 38 routes last year, than we continue to develop and mature in the current year we launch for sale five new routes in the first quarter out of which two are international and three are domestics within our core of visiting friends and relative point-to-point market focus. We are continuing with the operation and excellences that distinguish us including achieving a one-time performance of 84% during the quarter, lock time daily utilization about 12 hours and maintain aircraft reliability of 99.7%. We’ve received one additional A320 Sharklets, an equipped aircraft during the quarter and our fleet has reached now 51 aircraft; 33, A320s and 18, A319s. We expect to receive two A321s during the second quarter and continue working on the seat retrofit program of our A320s from 174 seats to 179 seats. Before passing it to Fernando who will review in further detail the financial performance of the period, I would like to share some perspective on how the second quarter is shaping up in an improving market environment but still with some important uncertainties. First consumer sentiment is still fragile, and announced public expenditure cost may affect consumer demand for the quarter and for the rest of the year. Industry capacity growth for the quarter as currently published appears to be rationale. Nevertheless industry pricing environment remains very fragile. We continue to see a better travel demand environment driven by an improving Northern Mexico business environment on our cross-border traffic but this is offset by seasonal effects. Our capacity growth for the second quarter would remain focused on international market in a range of 33% to 34%. ASM growth and discipline in domestic market in a range of only 5% to 6% ASM growth, resulting in a blended network ASM growth of 12% to 13% range for this second quarter. I just want to remind you that Volaris's total international market share in terms of passenger is only 4.5% which means we’re departing from a low base. We will continue to grow non-ticket revenues although year-over-year percentage comparisons will be less favorable because of a higher comparison basis. We remain concerned about exchange rate volatility despite the fuel price tailwinds and our increasing U.S. dollar denominated revenue base from our international operations. Having said this I would like to pass it over to Fernando. So please go ahead with the financial result details. 
Fernando Suarez: Thank you Enrique. Now let me expand on our financial performance during the first quarter of 2015. Our operating revenues for the first quarter were MXN3.8 billion, a 36% increase compared to the same period last year. This is a result of an improved domestic market environment, growth in the international market and strong non-ticket revenue growth, validating the change in trend observed since the third quarter of 2014. Our U.S. dollar denominated revenue from international operations already represents 31% of total revenue for the quarter, continuing to build our natural hedge. During the first quarter our non-ticket revenues reached MXN846 million, a growth of 65% compared to the first quarter of 2014. On a non-ticket revenue per passenger basis we reached MXN337 a year-over-year growth of 42%. If we were to exclude cargo, non-ticket revenues per passenger increased by 53% in the first quarter. Non-ticket revenues reached 22.5% of total operating revenues during the period, up from 18.5% in the same period of the prior year. As Enrique mentioned TRASM in the first quarter was 22% higher year-over-year, partially driven by yield and RASM increases of 18% and 70% respectively. On the cost side CASM was [MXN112.5] a decrease of 5.5% during the quarter driven by lower fuel prices and efficiencies in salaries and benefits by reaching 56 employees per aircraft and further savings in landing, takeoff and navigation expenses. Fuel costs represented 31% of total operating expenses for the quarter, 8 percentage points lower than in the first quarter of 2014. We also observed efficiencies in fuel burn reaching 700 gallons per block hour. As an ultra-low-cost carrier we continue to be best positioned to benefit from lower fuel prices. We started to benefit from such decline in jet fuel prices since the fourth quarter of 2014 and would expect to continue to so in the present year. We have continued to remain active in our fuel risk management program. For the first quarter of 2015 we hedged 29% of our consumption through jet fuel swaps and [call] options at an average price of $2.53 per gallon. The total average blended economic fuel cost per gallon for the first quarter was $1.96. For the remaining three quarters of 2015 and full 2016 we have primarily purchased call options to hedge 45% and 38% of the expected jet fuel consumption, at an average price of 2.09 and 1.97 per gallon respectively. Adjusted-EBITDAR in the first quarter was MXN1.2 billion with a record 32% margin. EBIT reached 346 million pesos. Operating margin was 9.2% up 26.8 percentage points compared to the first quarter of 2014. Net income for the quarter was MXN306 million representing a net margin of 8.1%. On an earnings per share basis we earned MXN0.30 per Series A share and $0.20 per ADS. During the fourth quarter, Volaris generated MXN949 million in cash from operating activities and MXN862 million in total net cash. We continue to strengthen our balance sheet and maintain a good liquidity position. Volaris had MXN3.2 billion in unrestricted cash as of March 31st representing 21% of last 12 months revenues and the record cash balance at the company. We continued with negative net debt or a net cash position of MXN1.9 billion. During the first quarter 2015 Volaris incurred in capital expenditures of MXN50 million, which included acquisitions of rotable spare parts, furniture and equipment of MXN61 million partially offset by reimbursements of net pre-delivery payments by an amount of MXN11 million. Looking further into 2015, we expect to end the year with 55 aircraft including our first two A321s. We have secured our lease and [PVP] financings of all our 2015 and 2016 deliveries and have started to work on the 2017 deliveries financing alternatives. Our ASM capacity guidance for full year continues to be in the 10% to 12% range, broken down 2% to 4% domestic and 33% to 36% international, reflecting cautious capacity management. Specifically, on margin guidance for the second quarter and as Enrique mentioned earlier within an improving market environment but still with important on certainty we would note the following. We expect to perform at adjusted EBITDAR margin in line with the average of the 10 research analyst estimates that we follow which is currently around 30%. Now I’ll ask Enrique to make his closing remarks before we open the line for questions.
Enrique Beltranena: Thank you, Fernando. We continue to rely on our team and their hard work to expand our network and strengthen our revenue strategy and focus on delivering intangible results to our shareholder value creation. Our pre-tax lease adjusted return on investment capital or ROIC for the last 12 months as of the end the first quarter was 17%. Thanks for your attention. And at this point we can move on to your questions. Operator, please proceed to the Q&A session.
Operator: Thank you, sir. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Duane Pfennigwerth of Evercore ISI. Please go ahead. 
Duane Pfennigwerth: Hi. Thanks for the time. Congratulations on this margin recovery. I wanted to ask you about the seasonality of your business and I appreciate certainly the guidance that you’ve given for the second quarter from a margin perspective. But historically the first quarter is a seasonally low point well below the second quarter and well below the full year. I wonder if you could give us any reasons why that may have changed and one of the things we were thinking about is the seasonal shaping you’ve done with your capacity where you’re up much more in the seasonally stronger months and maybe flat or even down in the seasonally weaker months. Is the business less seasonal going forward as you see it?
Enrique Beltranena: I think part of it, yes, Duane I think what is important to consider is that the first quarter included almost 15 days or 20 days of high season from the Christmas season and almost 20 days from the Semana Santa or the Holy Week. That’s not happening in the second quarter. So the second quarter is basically empty of high season periods, which creates a change. So I think having Semana Santa this year in the first quarter is improving our results. Other than that I think we are concerned about, in general the consumer sentiment and we are concern about some pricing effects that we started to see in the market specifically in the regional jet market and in the Monterrey market. 
Duane Pfennigwerth: Can you articulate a little bit on the regional jet market and Monterrey market, is that a pricing change that you’ve seen or is that a concern you have that you may be haven’t seen yet?
Holger Blankenstein: Duane, this is Holger. We’ve seen some multi-functional activities in the shorter stage link market, flying out of Mexico City by all competitors. So we’re seeing some pricing sensibility there, that’s what we would characterize and then the Monterrey market has seen a lot of capacity additions by all competitors as well which is adding some pricing pressure in the Monterrey specific market. Other than that the yield environment continues with its positive trend. 
Duane Pfennigwerth: And then just on the -- you announced couple of routes to Central America I believe starting in June. And maybe you could just remind us of how you see the relative growth opportunity for international outside the U.S. to places like Central America. 
Enrique Beltranena: Volaris just announced the launch of two routes one is from Guadalajara to Guatemala and the other one is from Cancun to Guatemala and that is within our core point-to-point VSR traffic philosophy. It represents relatively small part of our capacity which is currently at eight weekly flights out of the total of 1,600 weekly flights. As we move forward we do see opportunities in Central America and we continue to analyze the most attractive new markets in Central America but our focus will continue to remain in the transporter traffic to the U.S. 
Operator: Our next question comes from Michael Linenberg of Deutsche Bank. Please go ahead. 
Michael Linenberg: Actually two questions here, one just the news out that Delta and Air Mexico are going to seek up to seek that to put place in the Anti-Trust immunized joint-venture, assuming that the open-skies agreement gets improved. What’s your thoughts on that, is that something that you think ultimately Volaris -- maybe today it doesn't make sense for Volaris to pursue, but if other carriers team up with big international carriers, it's something that you have to do? Enrique what are your thoughts on that?
Enrique Beltranena: I have always sustained that we’re a low-cost model and as a result we've very low fares. And it's very difficult to share part of our fares in a closure agreement unless it is a humongous size in terms of volume closure agreement. So we have not been thinking or we are not doing anything and we don’t have anything on the table in relationship with doing something in terms of closure or teaming up with any other airline at this point. 
Michael Linenberg: And then just my second question, just the retrofitting on the A320s, going from 174 to 179 when is that completed and as you go through that exercise are you able to sell the full 179 seats on the aircraft that have been retrofitted or is that something that because of the complexity and the fact that the wrong airplane could show up at the time of departure that you refrain from doing that until the entire fleet is finished. I am just trying to get a sense of maybe if there is some money being left on the table here. 
Fernando Suarez: In terms of A320 a retrofit program, we've already retrofitted 15 A320s to 179 seats and we expect the program by summer time. And I will pass it on to Holger to comment on the rest of your question. 
Holger Blankenstein: We have put on sales the entire capacity of the retrofitted 179 A320s, 179 sitter A320s starting April. And as more retrofitted A320s come on stream, online we will sale at 179. We’re not leaving --. 
Operator: Our next question comes from Helane Becker of Cowen & Company. Please go ahead. 
Helane Becker: So I was seeing this morning that the Federal Economic Competition Commission in Mexico launched an investigation into claims of monopolistic practices between Mexican airlines. I find it hard to believe they think that might exist, but what are your thoughts about that?
Enrique Beltranena: First of all we don't have any relationship or we don't have any contact in terms of what they are qualifying there. So we clearly don't think it's a something related to Volaris. And we’re not aware that Volaris is part of such an investigation. 
Helane Becker: Okay that’s good to know and then, the other thing is you are looking to your growth in the opportunities in North America, so in the first quarter your traffic I think was up something like 10% or so, on 11% increasing capacity. As you add the new service could you just say what your point of sale is Mexico versus U.S. Are you picking up some U.S. share?
Fernando Suarez: Helane, typically our flights are sold about half the U.S. and half in Mexico for the transporter traffic and for the domestic traffic we also have some sales in the U.S. as some of our flights are similar to [relatives] scheme with people buy in the U.S. for relatives in Mexico for domestic flights. But sales are varied even between this distribution point in the U.S. and in Mexico.
Helane Becker: And then I don’t know if you can do this, but is there any way to sort of say what share of the bus traffic you are picking up now and how that has increased? That was something we talked about before. 
Enrique Beltranena: Last time we did an investigation on this Helane I mean we find out that it was between 5% to 6% of our traffic that was the first time, that they were first timers and then between 22% to 34% of our traffic claims that they first quote, bus fairs and then they make a decision if they take the aircraft. So I would say bottom line somewhere between a 5% to 6% to 34% for traffic is coming from the busses. 
Operator: And our next question comes from Stephen Trent of Citi. Please go ahead.
Stephen Trent: Hi. Good day everybody and thanks for taking my questions. Just two or three for me. The first is -- apologies I couldn’t hear you so well when you mentioned your hedge positions. I think you said 45% hedged for 2Q and then, was it 38% hedged for the back half? That’s struck at 2.45 a gallon? I was wondering if you could repeat that for me. 
Enrique Beltranena: Of course Stephen. For the remaining three quarters of 2015 we have 45% hedged of our consumption at a price of $2.09 per gallon and for full 2016 we have 38% hedged at 1.97 per gallon in the form call options.
Stephen Trent: Okay, that’s materially better than what I’ve written down so I’m glad I asked you. Thank you for that. And just two other quick ones if I may. One is, looking at this robust cash and equivalence position that you’ve built, any thoughts medium term with respect to potentially paying a cash dividend?
Enrique Beltranena: At this stage we think it’s a better use of our resources to invest in the business and grow and open new routes, than considering a dividend program.
Stephen Trent: Okay, that’s totally fair enough. And forgive me, just one last question, as we look over the next three or four months, I appreciate your color on what 2Q is shaping up to be with I believe in Mexico is going to have some congressional and gubernatorial elections in June, if I’m not mistaken. Are you guys seeing anything in the tea leaves at this point that may be candidate excess leading and that candidate has particularly strong platform, airport traffic stimulation or improved tourism or do you think you know conversely that there won’t be much change out of upcoming elections? 
Enrique Beltranena: I don’t think there is going to be major changes as a result of the elections. Steve I don’t see anyone really making a policy change or a major policy change.
Stephen Trent: Okay, very helpful. I’ll let someone asked us the question, but thanks very much guys. 
Enrique Beltranena: Thank you Steve. 
Operator: Our next question comes from Renato Salomone of Itau. Please go ahead.
Renato Salomone : Hi good afternoon and congratulations for the results. My question is about non-ticket revenues, you guys continue to surprise us positively there. In the last quarter, in the call, we discussed that -- you mentioned that you launched besides the combos, hotel packages and you were improving retail on board and carry on and you had a big lineup of new products. Could you please comment on the maturing of the products that you had recently launched in the second half of last year and what, if there is anything public already up the lineup that you could share with us, of the new products that you’re -- that you have recently launched earlier in the year? Thank you.
Fernando Suarez: Yes, Renato, thank you for your question. As you say we had a very good absolute revenue -- non-ticket revenue growth in the quarter. We do recognize that’s the growth in the first quarter was exceptionally strong and especially because we had easy comps versus last year. And growth as you mentioned stems from improved ancillary bundles that we sale on our websites, revenue management of some of the prices of ancillary revenues and bag and seat fees, those were the drivers of revenue growth -- non-ticket growth in the quarter. If you look forward towards this year and next ancillary revenues will continue to be a cornerstone of our commercial strategy. We do have a long pipeline of product in development and we plan to roll those outs in 2015, travel commerce, which means commission related products that we sale on our website is going to be one cornerstone and then improving the onboard options for the customers is going to be the other cornerstone. We do see continued upside potentials for the ancillaries throughout 2015 and 2016 and as Enrique mentioned the year-over-year percentage comparisons will be a little bit less favorable because we’re going to increasingly have a higher comparison base. 
Operator: Our next question comes from Bob McAdoo of Imperial Capital. Please go ahead. 
Bob McAdoo : Just a couple of quick questions. If crude oil does not change going forward and we are at this level of crude oil what kind of fuel price should we think about for rest of the year?
Fernando Suarez: Bob this is Fernando, as we mentioned. We already have a percentage hedged of the rest of year that is 45% at 1.97 per gallon, that’s the hedge portion and the rest will depend on market price. 
Bob McAdoo : I guess what I am saying is if market prices don't change and I understand that lot of your hedges are in effect call options. So I am just trying to think -- I was trying to see if there we could get some help in terms of looking at if the market prices don't change from here what kind of number should we be using going forward for a model. That was that I was trying to get to. 
Fernando Suarez: That should be the number again, given that there are call options we've effectively looked in that numbering. 
Enrique Beltranena: We typically do not give any assumptions in terms of fuel price, we -- in our forecast been used, consensus of fuel price from our analyst numbers. 
Bob McAdoo : I just somehow I had in my head that if it was a call that was really protection, to protect you if it went up, but if it didn't change the call may have been above current market price. But I guess I misunderstood what you were saying. In terms of Open Skies Treaty, could you remind us as to when that is supposedly going to become effective and once it becomes effective what kind of a process would be required before you could enter some markets -- that transporter markets that already have the two players in. But how long -- what kind of a delay might you see in that?
Enrique Beltranena: I just want to clarify and leave it very clear that there is no Open Skies been signed. There is -- but will not be signing --. 
Operator: (Operator Instructions). 
Bob McAdoo : Whether it's actually an Open Skies Treaty or not there was -- my understanding there is high probably that certain of the provisions that limit your ability to expand into market where other people already there, we’re going to disappear sometime in 2016. I was curious as to when you think that might happen? And what the delay might be once such a new regime is in place?
Enrique Beltranena: So what was answering you Bob is this is not an Open Skies bilateral signature. And by no means they bilateral is becoming an Open Skies, but we’re signing in reality and what in an essence we’re doing is, is it the elimination of the restriction of the number of carriers to operate within the third and the fourth free routes. And it's going to be in place in January 2017 -- 2016, I am sorry, subject to the senate approval. 
Bob McAdoo : And then once that’s in place you’re probably -- it shouldn't take a long time -- there is not another administrative procedure that you know of that would delay your ability to actually move into some of those routes. So we could be thinking the first half of 2016 that we could probably see more flexibility there in terms of some additional routes?
Enrique Beltranena: Typically the way the approvals come out, is it enters in effect right away once the senate approves it. We see both opportunities in that, when it becomes effective, but the market as a whole not for Volaris routes. We seeing increased competition in business routes particularly among mega carriers and southbound [indiscernible] routes particularly from the U.S. local carriers. I think our VFR secondary CDs focus shows us at least at the beginning and as a result of that in the long-term we will see it possibly for Volaris.
Bob McAdoo : Okay. Thank you very much. That’s helpful.
Enrique Beltranena: Thank you very much Bob. Sorry, for the cut and sorry to everybody for the cut.
Operator: Thank you, sir. This concludes our question-and-answer session. I’d like to turn the conference back over to Enrique Beltranena for any closing remarks.